Operator: Good morning, ladies and gentlemen, and welcome to the conference call of Intesa Sanpaolo for the presentation of the 2025 Results and Business Plan, hosted today by Mr. Carlo Messina, Chief Executive Officer. My name is Sandra, and I will be your coordinator for today's conference. [Operator Instructions] I remind you that today's conference is being recorded. At this time, I would like to hand the call over to Mr. Carlo Messina, CEO. Sir, you may begin.
Carlo Messina: Good morning, ladies and gentlemen, and welcome to today's conference call on our full year results and our new business plan. This is Carlo Messina, Chief Executive Officer; and I'm here with Luca Bocca, CFO; Marco Delfrate and Andrea Tamagnini, Investor Relations Officers. Before starting our presentation, let me recap the main elements of our strategy. Over the last two business plan, we have delivered on our commitments, exceeding our targets. We have created a unique business model strongly focused on commissions with high efficiency and a low risk profile. This strategy was enabled by strong investments in technology and in our people. Our investments in technology are a key enabler of growth, risk management and of the scalability and resilience of our operating model. They continue to translate into benefits over time, both in cost control and in the way we run the group. The new business plan will build on what already works, scaling our strengths. It is an ambitious plan, but with zero execution risk. I will now briefly review our full year results, which are a key enabling factor for the new plan before presenting our 4-year strategy and targets. Please turn to Slide 2. In 2025, we delivered record net income at EUR 9.3 billion. best-in-class cost income ratio, lowest ever NPL inflows, stock and ratios with bad loans reset to near 0, strong growth in capital and high increasing and sustainable value creation. Slide 3, we delivered on our commitment while paving the way for the new business plan. Revenue grew despite a significant drop in Euribor, costs were down, cost of risk was low and net income was the highest ever despite significant Q4 managerial actions to favor derisking and strengthen the balance sheet. Slide 4, we over delivered on all our targets set in the previous business plan, while investing more than planned. Shareholder distribution was 50% more than the business plan target. Slide 5. We leveraged Q4 profitability to allocate EUR 1 billion of gross income to strengthen future profitability. We are the most resilient bank in Europe, fully equipped to succeed in any scenario. Slide #6. In this slide, you have a brief summary of our excellent performance. In a nutshell, we had the best year ever for revenues and operating margin with record high commissions and insurance income. We reduced costs and net income was up 8%. Slide 7. We delivered a strong growth in return on equity, earnings per share, dividend per share and tangible book value per share. For 2025, we will pay a cash dividend up 10% on a yearly basis, and we will launch a EUR 2.3 billion buyback in July. Slide 8 for a look at capital. The common equity Tier 1 ratio grew to 13.9%, 13.2% after the buyback to be launched in July. We were able to increase the common equity Tier 1 ratio while distributing EUR 8.8 billion to shareholders. Please turn to the next slide to see the further strengthening of our 0 NPL bank status. We strongly reduced the NPL stock in Q4. We now have just EUR 0.8 billion in bad loans. This is a key element for maintaining a low cost of risk in the coming years. Slide 10, our NPL stock ratios are among the best in Europe, like in Nordic Bank. Slide #11, revenues were up year-on-year despite a strong decline in market interest rates. Thanks to our well-diversified business model. Slide 12. Net interest income was resilient despite a strong drop in Euribor. In Q4, we decided not to push strongly our loan growth and we are accelerating in the first quarter to compensate the EUR 570 million impact on common equity Tier 1 ratio from the Italian Budget Law. Still, loans in any case were up EUR 4 billion in the quarter. Slide 13. We had a record year for commissions and insurance income, and Q4 was the best quarter ever for commissions. Slide 14. Costs are down year-on-year. In Q4, in light of our strong profitability, we accelerated investments, training in preparation for the new business plan and advertising campaigns for the Winter Olympics. Our digital transformation is enabling significant efficiency gains, and we have high flexibility to further reduce costs in the coming years. Slide 15. Our cost of risk was 26 basis points when adjusting for additional provisions to favor derisking and strengthen the balance sheet. The Italian economy is very resilient, and we see no signs of asset quality deterioration. Slide 16. Our excellent and sustainable performance allow us to benefit all our stakeholders and strongly support the fight against poverty and inequalities. Slide 17, our resilient profitability, well-diversified business model, low cost income ratio, cutting-edge technology and best-in-class risk profile place us in a unique position to keep succeeding in the coming years in any scenario. Slide 18, Intesa Sanpaolo is also far better equipped than its European peers, and we are the most resilient European bank. Slide 19. In this slide, you can appreciate the unique business model of Intesa Sanpaolo. Now we can turn to Slide 20, '26 outlook -- to see the 2026 outlook. So Slide 20. For 2026, we expect a net income of about EUR 10 billion, driven by increased revenues, mainly thanks to commissions and insurance income growth, stable costs, low cost of risk driven by our 0 NPL bank status and the tax rate increase due to the Italian Budget Law, coupled with an increase in costs concerning the banking and insurance industry. We are also raising our cash payout ratio to 75% with an additional 20% buyback for a total payout of 95%. Now let me briefly summarize our key messages for the full year results. The level of profitability we have delivered is driven by structural factors, not by temporary effects. In Q4, we took significant managerial actions to further strengthen the sustainability of our results, fully consistent with our approach that balances short term and long term. The combination of profitability, capital strength and low risk we have is not common in the banking sector. From this position of strength, we are entering the next phase of our strategy with strong confidence. In the following slides, you have the full details of our full year and Q4 results, but now let me turn to our new business plan. Over the years, we have significantly strengthened the group. So this plan is about taking the strength further with zero execution risk. The plan is based on businesses we already run, investments we have already made, an execution model that is already proven. We are unique in Europe, resilient and ready to succeed in any scenario. Our Wealth Management, Protection & Advisory model is fully integrated and operates efficiently with product factories and distribution networks working together under full strategic control. It has delivered results over many years, and we will take this model to the next level. The plan includes a very detailed road map to grow our advisory network in Italy and abroad. We will scale up the Global Advisers network in the Banca dei Territori division, and this network will become the third largest in Italy, with Fideuram remaining #1. On top of that, we will set up a Fideuram-style network in the International Banks Divisions. The plan unlock synergies across divisions, not only in Italy but also abroad. We will export all the elements of our successful business model to our international banks. We will leverage isytech, our product experience and fully owned product factories to fully unlock the bank's growth potential. The International Banks will contribute a lot more to net income growth than in the past. The synergies included in the plan have been developed together with the other group divisions through a dedicated steering committee zero-ing execution risk. Another perfect example of our ability to extract synergy outside of Italy is the launch of Isywealth Europe. We see the opportunity to be a challenger in France, Germany and Spain, where we are already present with international branches. We will extend our successful business model, leveraging our strong tech investments, the extension of isytech, our Wealth Management leadership and our existing international branches presence. We will combine our digital capabilities with the development of a sizable network of Wealth Management advisers. This is an opportunity for the group in the midterm, and this is why we assumed 0 revenues in the business plan despite including investments. We will be able to structurally reduce cost and technology remains a major enabler, supporting efficiency, risk management and scalability. We are the first leading bank fully adopting a cloud-based core banking system. As you will see, our business plan includes substantial growth in terms of new clients, new customer financial assets and new lending. On this point, let me highlight that our total new lending in Italy will be by far bigger than Italy's recovery plan and, as usual, will follow high-quality origination standards. We are the most resilient bank in Europe as confirmed by the EBA stress test and the 0 NPL bank status that we will maintain. Against this backdrop, the new business plan is built around three clear pillars: cost reduction, conservative revenue growth and low cost of risk. Let's now turn to Slide 3. This is very important for me. So let me start with our people, our most important assets. And I want to thank them for their hard work and full commitment to the success of Intesa Sanpaolo. Our people will always be our main asset and the key enabler of future success, and we will continue to invest in their talents. On top of that, we have a strong long-standing and cohesive management team. Slide #4. Intesa Sanpaolo is a proven delivery machine, and this slide shows the excellent results of the past business plan. Net income and return on equity more than doubled. Cost income improved strongly. Customer financial assets grew significantly. NPL stock and ratios reached historical lows, and we returned almost EUR 50 billion to shareholders, mainly cash. Slide #5. As you can see in this slide, net income has grown 20 years -- 12 years in a row. Slide #6. The three pillars of our strategy are: one, cost reduction, benefiting from tech investments already deployed; two, conservative revenues growth, thanks to group synergies and additional people to strengthen our Wealth Management protection and advisory leadership; three, low cost of risk driven by our 0 NPL bank status with bad loans already reset to near 0. Our people are now fully committed to delivering the new business plan, a plan they were essential in developing. Slide #7. Let's now go through the business plan numbers. By the end of the plan, we will deliver a net income above EUR 11.5 billion, a sustainable return on equity above 20% and the cost-income ratio at 37%. We will maintain our rock-solid capital position and our leading role in social impact with a new EUR 1 billion contribution. Slide #8. Our priority remains high in sustainable value creation and distribution with strong growth in earnings per share and dividend per share and a total capital return of EUR 50 billion, close to 50% of our market cap. We will distribute in each year of the business plan a cash dividend equal to 75% of our net income, and we will add a 20% buyback. Any additional distribution will be evaluated year-by-year starting from 2027. Slide #9. As usual, our business plan is built on a solid set of industrial initiatives that I will outline later. Slide #10. This plan leverages our strengths with no execution risk. We can leverage a proven track record in cost reduction and our cloud-based digital platform is now being extended to the whole group, while generational change is already underway. We can boost our revenues through the unique combination of fully owned product factories, growing advisory networks and a cohesive management team to extract the group growth potential. We can count on a very low NPL stock, high-quality loan origination and a strong track record in managing emerging risks. Slide 11. To sum up, we are committed to a strong increase in profitability and efficiency with a return on equity above 20%, a result that very few banks in Europe can deliver. Slide 12. We have significant client and loan growth potential. We will expand our customer base by 2.5 million clients, mainly leveraging Isybank and the international banks. We will provide more than EUR 370 billion in medium/long-term lending to households and businesses. In Italy, the amount of new lending is higher than the European Union financial support to fund the national recovery and resilience plan for the country. Slide 13. We will also increase customer financial assets by EUR 200 billion, of which EUR 100 billion in assets under management, also thanks to 3,700 additional people to further strengthen our Wealth Management Advisory Network. Slide 14, our common equity Tier 1 ratio will remain comfortably above the target level of 12.5%, even after EUR 50 billion of capital return, thanks to strong internal capital generation. Slide 15, we will also maintain an excellent liquidity profile despite a light funding plan confirming once again the zero execution risk of the business plan. Slide 16, I want to highlight that the business plan targets are based on conservative rate assumption. Italian GDP growth will be supported by Italy's strong fundamental and our international markets will show an even higher increase. Slide 17. The Italian economy remains resilient and recent upgrades of Italy's rating confirm the country's strength. Slide 18. In this slide, you can see the main P&L figures we are targeting for 2029. And in the next two slides, you will find the main balance sheet figures with a positive contribution from all business units. Now we can go to Slide 21. Thanks to the new plan, we will further strengthen our unique business model. Slide 22, our new business plan will generate benefits for all stakeholders, and we will contribute EUR 500 billion to the real economy over the next 4 years. We can now move to the next section for the industrial initiatives of the business plan. Slide 25. Let's now go through the first pillar of the business plan, cost reduction, which includes five main initiatives, such as the extension of isytech and the acceleration of generational change. Slide 26. As a result of these initiatives, cost will decrease by EUR 200 million in absolute terms, thanks to EUR 1.6 billion in cost savings while keeping investing in technology and growth. To my knowledge, we are the only large bank in Europe with a business plan delivering cost reduction, and we are further stead to have further cost reduction. Then we can go to Slide 27 to see more in details, the first initiative, the extension of isytech. Isytech is our cloud-native digital platform, and it has already been deployed with success to the Italian Retail segment, and this is a key enabler for expansion into a new international markets. Slide 28. This is very important. Isytech will be rolled out across the entire group over the course of the business plan. And by 2029, 100% of application will be in the cloud. But what I want to point out is the '26, '27 in which we will extend to all the Wealth Management activity of the group, so affluent, exclusive, private, and this is -- will be very important also for the international expansion of Wealth Management of the group that we will see in Isywealth Europe. Slide 29, we will deliver a significant increase in productivity through artificial intelligence. This evolution will transform our service model, enhanced operational efficiency and strengthen oversight of risk and control. Slide 30, we will expand also our digital branch capabilities to increase productivity and commercial activation, leveraging artificial intelligence. Slide 31. Our bank is undergoing a generational transition and a significant portion of our workforce is approaching retirement. And by 2029, we will have more than 12,000 exits at no social cost, while hiring more than 6,000 young people in Italy, largely global advisers with skills aligned to evolving business needs. This will enable EUR 570 million in cost savings at run rate. Slide 32, we will also leverage our in-sourcing machine, enabling EUR 200 million savings in external costs. Slide 33. In this slide, you can see our continuous focus on proactive cost management, driving structural administrative cost reduction. Slide 34, we enter into revenues. We have a strong internal growth potential, also leveraging group synergies. The business plan envisages a wide set of revenue growth initiatives across all business lines in Italy and abroad. Slide 35. Our ambition for the top line mainly comes from growth in Wealth Management, Protection & Advisory without relying on interest rate increases. Commissions will be the main source of revenue growth, thanks to initiatives that strengthened both our product factories and distribution networks. But do not forget the growth in net interest income, because in 2026, we will have the first round -- the final round of Euribor reduction. And then in 2027, '28 and '29, we will have a significant acceleration also in the growth of net interest income coming from growth in loan book in deposits and in hedging facilities. So also net interest income will be a key driver of increase of our revenue base with an acceleration starting from 2027, significant acceleration. We can go to Slide 36, starting from the first initiative. This will strengthen our distinctive advisory network, focusing on the Exclusive Client segment. We started serving these clients with a dedicated service model in the last business plan. In this business plan, we will unlock the full potential by serving them with over 2,300 new global advisers, bringing more than EUR 300 million in additional revenues. And you can see also that this acceleration in growth will leave us with further significant space of growth, just looking at the quartile in which we have not generated significant revenues. So the potential is really enormous in the Exclusive Client segment. Slide 37. The Banca dei Territori Global Advisers Network will become the market's third financial advisory network with our Fideuram network remaining in the first place. In addition, we will set up a new Fideuram style advisory network in our International Bank divisions. Slide 38, Private Banking. We will continue to strengthen our Private Banking leadership by enhancing our commercial proposition, reinforcing our life cycle and longevity offering and scaling up our international prices increasing by 500 units the number of financial advisers. And remember, just in 2025, we increased by 500 person the network of Fideuram. So it is really something conservative in my view. Slide -- we can move to Slide #42 to look at the leadership that we have in product factories. We will continue to strengthen our fully owned product factories in Asset Management through the enhancement of our service model and product offering coupled with international expansion. In Life Insurance by developing dedicated solution to address specific customer needs. And in Property & Casualty insurance by extending our proposition to our private banking, SMEs and corporate clients. Now let's turn to Slide 45. Very important for our Property & Casualty Insurance business. As you can see in this slide, we have huge potential to grow Property & Casualty revenues, increasing penetration of our products across our client base, including private banking, in which today we have zero penetration. So, we think to have further significant potential of growth in this business unit. Slide 46. Moving into Corporate and Institutional clients. In the new plan, we target a 5.4% increase per year in IMI Corporate Investment Banking net income. We will grow across various dimensions, scaling up our international business while strengthening our propositions in high-growth value chains, global markets, transaction banking and private markets. We can go to Slide 47, and we will look that we will also scale up IMI Corporate Investment Banking, International Business, launching a new dedicated service model to support Italian Corporates and SMEs in core and emerging markets while strengthening institutional client coverage in core geographies. We can go to Slide 51. Moving into transactional banking, which is very important. And in 51, you can see the SMEs initiatives. In this slide, you can see that we will introduce two different service models to best serve SMEs, thanks to our distinctive product offering and top-notch digital platform. This is another example of synergies across divisions. Slide 53, consumer finance. We are also planning to grow in the consumer finance space where we can improve our market share with a particular focus on personal loans and salary-backed loan solution. Slide 54, Isybank. With more than 1 million clients already on board, a complete product offering, Isybank is beating the FX. In Slide 55, you can see that in the new business plan, Isybank will further consolidate its leading position among Italian digital banks, acquiring 1 million additional new clients. Slide 56, international banks. Looking outside of Italy, we will grow across our international banks, leveraging our successful business model in Italy and unlocking full synergies with other group divisions, a lot more than in the past, also thanks to the extension of isytech. We created a dedicated steering committee with the division sets, the CFO and Chief Transformation and Organization Officer and the Chief Technology Officer to accelerate synergies. This will lead to a 50% significant increase in profitability. Slide 57. Our international banks are expected to deliver strong net income growth driven by the evolution of the business model with enhanced advisory capabilities. The setup of the Fideuram style network to accelerate growth in Wealth Management and Protection, a strong focus on digital, including the isytech adoption and the launch of a new digital payment and lending solution. Slide 59. By 2029, we will have a Fideuram style advisory network in the International Banks division with 1,200 people to fuel growth. Slide 61. This is a very important project for the future of Intesa Sanpaolo. So last but not least, we see the opportunity to extend our successful business model to the main European countries where we are already present such as France, Germany and Spain in which we have branches. We can leverage our leadership in Wealth Management, the EUR 10 billion tech investments already deployed, the extension of isytech in 2027 to Wealth Management areas and the existing presence in these countries. We can combine our digital capabilities with the development of a sizable network of Wealth Management advisers, and we will build on our product factories to develop solution tailored to the new markets while at the same time, leveraging partnership with global champions as we are already doing with BlackRock in Belgium and Luxembourg. This is an opportunity for the group in the midterm, and this is why we assumed zero revenues in this business plan. Despite this, we included EUR 200 million of investments. Slide 62. We have a two-phase road map for Isywealth Europe. In the first phase that I will directly overseas, we will launch the project, extending our international branch, license to serve retail and private client and setting up the new business model. So we will transform our branches that today only corporate devoted into branches that can operate on retail and private. In the second phase, following the extension of isytech to Affluent and Private Client segment. So at the end, we will have Isybank in our branches, just to make it easy. We will have a state-of-the-art IT system, cloud-based that will allow us to make Wealth Management also in this country. We will scale up the business by extending the footprint into other major cities, launching a new digital and holistic product offering and expanding the network of financial advisory and private bankers through hiring or acquisition. At the same time, our product sector in the insurance company has created product in health and house that will be available starting from 2027 also abroad of Italy and especially in Germany, France and Spain. Slide #63. We can enter into the pillar of cost of risk. Slide 64. We are a zero NPL bank. And during the plan, we will keep NPL inflows low, thanks to high quality origination and optimized credit portfolio management. This will drive a structurally low cost of risk without using overlays. Slide 65. As mentioned earlier, in Q4, we reset bad loans to near zero. In the next two slides, you can see more details about our active credit portfolio optimization and forward-looking credit decisions. Slide #68. In addition to our credit risk strategy, we will continue to maintain a strong focus on all other risks, strengthening the internal control framework, risk management and anti-financial crime. We will also improve the management of emerging risks in the new economic and geopolitical environment. Slide 69, we are the most resilient bank in Europe, also demonstrated by the EBA stress test. Slide 71. We will invest heavily in the development of our people. We will scale up capability building and we will push connecting with -- connectivity within the group. As you can see in Slide 72, we will also further promote our group culture and enhance welfare at group level. Slide 73. We will continue to be the #1 bank in the world for social impact with an additional EUR 1 billion contribution to support people in need, fight poverty and reduce inequalities. We will also support clients in the sustainable transition by allocating 30% of total medium-long term new lending to sustainable financing. We confirm our commitments to decarbonization and will continue our commitment to preserving and promoting our cultural heritage, while fostering innovation. In the next slides, you can see more details about our initiatives. We can go to Slide 79 for final remarks before we take your questions. 79. To sum up, our strategy for the next 4 years is based on three key pillars, all enabled by our people, structural cost reduction, conservative revenue growth and low cost of risk. Slide 80, this plan, free from execution risk, translates into a net income above EUR 11.5 billion, giving us a sustainable return on equity above 20% and strong growth in earnings per share and dividend per share, all of this while leveraging our strong growth potential, distributing EUR 50 billion of capital to shareholders and maintaining a rock solid capital base and a very low risk profile. Slide 81, as mentioned earlier, our new business plan will generate benefits with an almost EUR 500 billion contribution to our stakeholders. So today, we covered a lot of ground this morning, and it was important to go into details so that you can see exactly why we are unique and how we will execute this strategy. So this is a plan based on a bottom-up approach, and I think that we will overdeliver the plan. At the core of this strategy is value creation and distribution, guided by a strong sense of purpose. Year-after-year, we have demonstrated our ability to deliver our targets even in a challenging environment. So thank you for your patience. And now let's move to your questions.
Operator: [Operator Instructions] We will now take the first question from the line of Antonio Reale from Bank of America.
Antonio Reale: It's Antonio from Bank of America. I have two questions, please. The first one, if I may. It's on the vision you have for Intesa Sanpaolo. I think, I mean, you and the country are at a strategic turn, at least in my view. And if I look at your business on one hand, you're clearly -- Italy is a national champion and that's I think an undisputed statement, you generate a steady stream of income, and you have a return that is well in excess of the market growth rate. You can continue to defend that market position within Italy and continue to distribute almost all of your earnings in the form of cash, which is what you've been doing. Or you can have the ambition to add scale and export some of your products internationally, thinking about insurance, asset management. And I'm hearing you talk a little bit about both, some international expansion as well as at the same time, increasing dividends slightly. Interested to hear, sort of, your views here, especially in the context of the changes that are taking place in Italy. There were more headlines also over the weekend. So your views will be very, very helpful here. And my second question is on the NII bridge between '25 and '29. If you could just walk us through the moving parts? And maybe give us a sense of what your NII could look like also this year and next? And particularly related to that, when you think loan growth will be resuming in Italy?
Carlo Messina: Thank you, Antonio. So, starting from the second question, then I will elaborate more on the first that was more strategic. On the first -- on the second question, our expectation on net interest income is that we will increase in 2026 in comparison to 2025. We still have roughly 20 basis points of reduction in terms of Euribor. So we will have a reduction in terms of contribution of markdown. But at the same time, the acceleration in the loan book, as I mentioned, we decided to decrease the strong acceleration that we are seeing in the loan book in the last quarter, because we want to be sure to be in a position to face the EUR 60 million of taxation coming from the new budget law. But at the same time, we have a lot of origination that is already in place for 2026. At the same time, the hedging facility will give us a strong contribution during 2026. So, we expect a growth in terms of net interest income in 2026 in comparison to 2025. Having said that, starting from 2027, we will have a flat Euribor in our assumption. Then in the forward, there could be also an increase in terms of Euribor, but we had a conservative approach, not considering a further benefit coming from increase in Euribor. And at the timing, we will have all the game that will be based on items relating on hedging facilities that will continue to bring positive on the net interest income, but also we will have the full impact of the growth in terms of loan and also deposits. Because at the timing, both these two areas will have a positive. That's the reason why in the growth of our total financial assets, you will not see only growth in terms of assets under management, that is, for sure, a priority, but also the increase in deposits will bring us strong contribution to revenues through increase in net interest income. So, my expectation is that we can have really a clear trend of strong acceleration, probably much higher that we have considered in our plan. So, I'm pretty positive on the evolution of net interest income and also of our ability to increase the loan book, both in Italy, in which in the assumption that we have in the plan, we have been, in my opinion, conservative. And in the international expansion in International Bank division and also in all the trend of growth that we have in the IMI Corporate Investment Banking divisions, they are operating in a very good way outside of Italy. And in my expectation, we can have further growth in terms of loan book. Then you see that we decided to change our attitude toward the consumer finance, so allowing increase not only in mortgages with individuals, but also in consumer finance. So my expectation is that also, net interest income will give positive surprise during the next business plan. Coming on the point of Italy and outside of Italy. So the possibility of defending our positioning and changing our view for the international. So in Italy, we are a clear leader, and any kind of combination that can happen also reading on the newspaper will not change our leadership. We have a strong leadership based on strong relation with our client base with our 100% product factories. So we will remain, by definition, the leader, and we will attack all the other players through the acquisition of private bankers and financial advisers in the market, and the hiring of global advisers will allow us to increase also the penetration in the exclusive segments in our country. So I'm not worried at all for the dynamics in the competitive landscape in the country. They will take a number of years to have some potential competitors for Intesa Sanpaolo, also, if we have the combination within other players not realized until today. But my view is that now it's a timing in which we have to accelerate also outside of Italy. Our International Bank divisions today, I want to consider them as Intesa Sanpaolo. Because until the previous plan, there was something like not part of the Intesa Sanpaolo Group, but like an entity separated by the group. Now there is the full integration. They will work with the same approach in terms of Digital Wealth Management & Protection approach. And if you see the dynamic of commissions in 2025, you have the clear evidence that also these divisions will bring us a very positive trend in terms of fee and commissions, and the acceleration will be based on our Wealth Management & Protection models, so reinforcing the advisory, but also recruiting a Fideuram equivalent financial advisers team. And so this -- for a significant number, you see that we are talking about more than 1,000 people. So, we are now changing the approach, and this portion of the group is part of clearly Intesa Sanpaolo. So we're not -- we will not have more Italy and outside of Italy. We will have Intesa Sanpaolo in all the countries in which we operate. Understanding this approach, we are now considering that in the Eurozone, you do not need to make acquisition of banks, especially if you enter into fighting in the country in which you make the acquisition, but it is much better to leverage on branches that you have, especially if you are able to create, moving from corporate into private banking and retail activity, if you created a specific technological system upgrading and cloud-based like isytech. In 2027, we will have isytech and Isybank, because isytech is a system of Isybank, but also the system of Intesa Sanpaolo. And if you have a branch outside of Italy, like in Germany, in France and Spain, you have, by definition, Isybank Wealth Management in the country through the branch. And this will allow us to have a clear state-of-the-art company that can operate in Wealth Management. What we need is to increase, obviously, the financial advisory team. So, we will recruit a significant number of people in this sector. This is a clear project like we made in the past in our delivery machine. So, we started in saying, we will be a leader in Wealth Management. We will reduce to zero the non-performing loans. We will have the system based on cloud through investments like no other in Europe. Now we want to create a new way of entering into market like a challenger bank, but with the strong ability and the strength of an incumbent in a country in which Wealth Management is, by definition, a point of strength, and we have product factories. We are working with our insurance company in order to be ready to have products for health and house like in Italy, in which in some years, we are today with Unipol, the leader into -- in this market. And at the same time, through this isytech evolution for 2027, we will have ready for the branches outside of Italy, a best-in-class technological unit that could be considered a branch or an Isybank Wealth Management in the country. And with agreement with best-in-class players, and we hope to have further agreement with players like BlackRock and the other big player in the market. We can create something that could be very important for the medium-term value of the organization. So, we are moving into a strategic usage of technology in the Eurozone. And our target is today to work to create a project that can allow us to have strong presence in Germany, France and Spain in Wealth Management, Protection & Advisory activity. And I think that this will be a clear priority for the new business plan. So, technology and the ability to have a Wealth Management & Protection, in my opinion, will lead us in a clear diversification approach, not paying goodwill to other players through acquisition in the markets outside of Italy.
Operator: We will now take the next question from the line of Ignacio Ulargui from BNP Paribas.
Ignacio Ulargui: I have two questions, if I may. The first one is coming back a bit to the target growth of deposits that you were mentioning before, Carlo, on the Italian side. I mean, how do you see the growth of deposits and the speed of conversion of the deposits into asset under management that we have discussed in previous calls? And the second one, looking to the cost. If I just look to the inflation that you are targeting. You're targeting like around 2.5% inflation. Should that be the level of savings that we are getting, not -- I mean, shouldn't be inflation a bit higher in the context that we are telling in Europe and with the expansion that you are targeting in terms of growth in financial advisers?
Carlo Messina: So in terms of cost, the inflation of 2% is what we have considered, looking at the most important forecast, but all the dynamics of cost is based on actions. So, we considered the inflection as the trigger point in order to have the inertial trend of cost base, but we don't have any kind of impact coming from this in all directions, especially all actions related to acquisition of people within the business plan. Just the cost, on the cost side, what I can tell you is that we have been really conservative. We have a lot of contingency plan, because all the migration to the cloud and the possibility to close the mainframe will allow us to have a further cost reduction and a portion of this, so EUR 200 million, we decided to devote to the Isywealth Europe project. But we still remain with the potential of further reduction. We will check during the plan, because we will have the clear evidence only when we'll have the migration of the most important part of the segment that is the one related with the Wealth Management in 2027. But my expectation is that we can exceed our expectation in terms of cost reduction and also when we will have the second phase on the corporate activity in 2028 to 2029, we will create further room for reduction in these 2 years and also in the medium term. Looking at deposits, what I can tell you is that the majority of the growth in assets under management was derived by conversion of assets under administration. So we consider in this -- with this plan, deposit strategic like assets under management, just to make it easy. Then obviously, asset under management has a clear priority for us in terms of business model. But when we talk about Wealth Management Protection & Advisory for us, in Wealth Management, we consider also the deposit base, because at this level of Euribor, deposit can have a profitability equivalent to the asset under management product. So for us, what it is very important is to have clients with us to maintain the strong relations that we have with our client base and also the acquisition of new volumes coming from existing clients that have deposits or assets under management with other players or the acquisition of private bankers or financial advisers that can bring us further volumes, but not only in terms of asset under management, but also in terms of deposits. So deposits remain a clear strategic priority in the plan that we have considered a growth that is more in line with the GDP growth, with a nominal GDP growth. But in my expectation, probably we can also have an acceleration in terms of deposit growth.
Operator: We will now take the next question from the line of Delphine Lee from JPMorgan.
Delphine Lee: Thanks for the comprehensive business plan presentation. I just have two questions. So first of all, just wanted to come back on net interest income following up on previous questions. So if you look at your assumption of, sort of, NII growth, it looks pretty much in line with the loan growth assumption. So it seems to imply the replicating income contribution have some benefit in '26, but quite limited post -- well, from '27 onwards? Just checking if this is correct. Second question is on distribution. So you mentioned you are going to reevaluate additional payout on top of the 95% from '27. So, I assume this is from fiscal year '27. I'm just wondering why you could not do that maybe already for fiscal year '26 or a little bit earlier?
Carlo Messina: So, let me start from net interest income, and then I will elaborate on distribution. Because on distribution, I have to make a clear reference in 2027 to our projects of expansion in terms of Isywealth Europe. So in terms of net interest income, in 2026, we will have a clear strong contribution by the [ XME ] facilities, that we will have a strong contribution also from financial securities portfolio. So if you want to make a clear indication of the drivers for 2026, and we will have a strong contribution coming from the loan growth. So in terms of volumes. Deposits, will remain point, the full amount of deposits. So the combination of volume and markdown will be the negative driver of the net interest income coming in 2026 in comparison with 2025, because the first 6 months of 2025 were very positive. And so in comparison, in this area, we will have a negative. But the combination of these effects will bring us to have a growth in terms of net interest income. And then we will have a clear acceleration, because we remain with strong contribution from hedging facility from security portfolio and the timing, loan book will accelerate and will bring a positive trend, but also the growth in terms of deposits will not have more -- the negative coming from the markdown trend, and this will allow us in terms of comparative dynamics in 2027, in comparison with 2026 will allow us to have a strong acceleration. I have to tell you that in the plan, we decided to put a number that is conservative in comparison with what we have in our final figures for the plan, because we want to remain with what we have called, no execution risk in the plan. But the reality is that the net interest income implied in what we have as a potential looking at the growth of the loan book deposits and the hedging facility is much higher than we have considered in the plan.
Delphine Lee: Understood. And on the distribution?
Carlo Messina: Sorry, on the distribution, so the additional payout will be considered year-by-year starting from 2027 because in 2027, we will have completed the migration on the Wealth Management portion of the isytech system. At the timing, we will have the possibility. In the meantime, we will start during 2026 in selecting financial advisers networks in the different countries in the Central Eastern Europe for the project of international banks and in Germany, France and Spain, but I want to start with Germany as a country, which we can make this analysis. And the timing, we will have a clear view on possibility of making acquisition of network of financial adviser or insurance agents, and we will see what will be the real trend in terms of potential acquisition of this player. For the timing, we will have also a clear understanding of what today is a project because, as I told, we have no revenues embedded in this project. And in my view, it is the clear most important strategic project of the business plan. But if we have a clear potential of increasing significantly revenues for the group, creating ROE that could be much higher than the capital that we can distribute, we will use this for the growth in this sector. So this is the real point of 2027. We will see, we have a lot of room in capital, because also in capital position, we have been conservative in the trend of estimates of our common equity Tier 1 ratio, we will see what can happen. But please do not forget that 2027 linked with technology. So with the technology improvement of isytech will be a very important year for the group, because we will have the possibility to set all the optionality in terms of Wealth Management growth through hiring or acquisition of financial adviser networks that will bring us at the scale of the European level in terms of Wealth Management. Today, we are already in terms of dimension. In the first slide -- in the second slide of the plan in which we demonstrate in the final figures related to what we realized in the plan starting from EUR 900 billion of Wealth Management, financial customer, financial assets, and now we are at EUR 1.5 trillion. We made an incredible job in this, being today one of the leader in Wealth Management in Europe, but we are mainly concentrated in Italy. What we want is to move into a different approach based mainly on organic growth, so leveraging on technology as a strategic tool and on our ability to be a leader in Wealth Management. But we cannot exclude also to make acquisition of network of financial advisers during the period of the business plan. So 2027 will allow us to better understand this point.
Operator: We will now take the next question from the line of Sofie Peterzens from Goldman Sachs.
Sofie Caroline Peterzens: Here is Sofie from Goldman Sachs. Just my first question would be on the fee income guidance that you give a 3.8% CAGR. In 2025, you had 6% fee growth and kind of, if you look at the volumes that you're looking to grow AUM, it's over 4%. So, why not be more ambitious on the fee income guidance, especially your push for P&C and also Wealth Management. So maybe if you could just talk about the upside risk, the fee guidance? And then my second question would be around kind of the having a zero NPL strategy. What's the rationale for this? Wouldn't it make sense to take a little bit more risk, do a little bit more higher risk lending? Where do you want to kind of aim for zero NPLs? Isn't it better to kind of increase the risk appetite a little bit more, especially given that we have had a lot of deleveraging in Italy over the past decade?
Carlo Messina: So, I will start from the second question. Because I used to be the CFO of this organization, and then the CEO during a very difficult period in which you had in Italy and in Europe, different phases of negative cycle, the COVID period. So the approach on the most important risk that the bank can have because you are today, all the analysts and investors are bullish on economy, on the trend of loan book, asking for increasing loan because this increased loans, this increased net interest income. And believe me, I'm used to manage crisis and difficult situation. And I can tell you that you never know what can happen in the future. And it is much better to be really on the safe side if you want to be a clear sustainable and medium-term value proposition for your shareholders. So that's the reason why I think that it is always much better to stay in a very conservative risk approach that's moving into a bullish approach that can be transformed in 1- or 2-year time is something that could be really dangerous. Having said that, the strategy of zero NPL is also made by the fact that apart from other players that are continuing to reduce the coverage of the non-performing loans, in reality, non-performing loans need to be covered. So you cannot avoid to make provisions during the different periods of the year. And so having a zero level of non-performing loans can allow you to have only provisions coming from the new inflows. So that's fundamental if you want to maintain a sustainable cost of risk apart from marketing activities. So if you want to be a real medium, long-term sustainable bank, not -- they can stay here for the next 12 months or 24 months, but you want to stay here forever, it is very important to be in the very safe side of the market. And this is the reason why we decided to move into a significant derisking, being today the best bank in Europe also looking at this level. Then obviously, we will accelerate in our loan book activity, but marginally, this will allow in case of negative to maintain a level of non-performing loans that was the level of the pre-derisking. So, I think that -- we had enough room to continue this strategy. Also, our risk appetite is moving into a more significant appetite also for something that we decided in the past not to do, so consumer finance, more lending at international level. So, we are moving into a different approach, but starting with an hedging that is the zero level of the non-performing loans. And remember that we decided not to use overlays and to maintain during the period of the plan, the amount of the overlay. So, we remain very conservative in terms of hedging in case of negative, but open to accelerate in terms of attitude of risk appetite, especially reinforcing the original to share activity that we are doing today in the Corporate Investment division and will be extended also in the Banca dei Territori divisions. So, looking at the second question, so on fee guidance, we decided to be also very conservative in terms of fee and commissions. So if you look also the amount of growth in terms of assets under management, it's equivalent to the EUR 100 billion of what we have already selected in the past as area of amount that can be converted. In reality, the amount is much higher in comparison to the first point, because we have a significant portion of the asset under administration that today is capital positive, capital gain positive. And this will allow us, if it is the case, to make a further conversion into asset under management product. For the time being, looking at our business plan, we do not need to make further acceleration. And we have also considered a very conservative approach also in terms of pricing. So, we decided to reduce also the unit pricing for the asset under management product, and this will allow us to be in a very conservative side of the plan. And it is also related with the fact that we have considered also in the title, with no execution risk.
Operator: We will now take the next question from the line of Andrea Filtri from Mediobanca.
Andrea Filtri: The first is on capital. Why has the minimum CET1 ratio increased by 50 basis points to 12.5%? And the second, 2029 should see the launch of the digital euro. What assumptions have you made on the impact of digital euro revenues and costs?
Carlo Messina: On digital euro, we do not see a significant amount of contingency to be placed in the plan. So we think that at the end, this will be something that will have an important role in terms of strategic geopolitical position, but ECB will move in order not to create any kind of stress for the banking sector. Looking at capital, just because we decided to move into a dividend policy that has changed because from a substantial point of view, we have used in the past the ability to consider each year with the Board of Directors, the possibility to pay a share buyback. And now having a dividend policy in which it is clear that we will pay cash dividend and share buyback, we decided to move into a different approach also in terms of common equity to be sure also in relation with the Board of Directors and the supervisor that the minimum level can be increased, but the dividend policy at the same time could be really significant. And with a strong correlation, with our very low risk profile and also our very sustainable cash flow generation because today, we are probably the bank that has the clear sustainability of cash flow for the future. So that's the reason why.
Operator: We will now take the next question from the line of Britta Schmidt from Autonomous Research.
Britta Schmidt: I have a question on costs. Maybe you can give us a little bit more of a breakdown of the EUR 1.6 billion savings, the EUR 570 million in personnel, how much of that is incremental to the existing program? I think you also talked about some external savings but maybe you can give us a bit more of a breakdown. And then coming back to capital, there is a comment that also the 20% share buyback could be dependent on M&A. Am I interpreting this correctly? And maybe you can just give us a clarification as to what tax rate and increase in levies you've assumed both for 2026 and 2029?
Carlo Messina: So on cost, we consider to have a reduction in the IT cost, in the real estate cost and in the administrative expenses, in marketing for the current activity in the country but an increase in marketing outside of Italy. And consultancy expenses will be reduced during the period of the plan due to the fact that a majority of the mainframe cost will be reduced during the plan. So the concentration is based on this area. At the same time, the reduction of people already realized, so something that we have already embedded in figures for 2026. And further, people that can leave the organization. These people are people that have already asked to leave the organization, the timing of the previous exit, we were not in a position to allow them to exit the bank. Now we are ready to consider also their will to be part of a story of retiring. And so that's something that we consider absolutely achievable. So personnel cost and administrative expenses mainly concentrated in IT, real estate and consultancy, these are the area in which you can have the most important reduction. Looking at capital, so distribution of capital. From a substantial point each year, when we decided to make the share buyback, we made a clear process that is the normal process in any organization in which you consider before proposing to your Board of Directors to make a share buyback that you have not better allocation for your capital. So that is the rule of the game in each Board of Directors. In all these years in which we presented the plan of share buyback, for each year for the authorization of the Board of Director, we presented also the potential optionality that we can have because we -- it is true that we do not M&A, but we are not in a position not to look and make analysis, and making analysis of M&A, there was no possibility, and this was something part of the decision that have a better allocation of capital. So moving from a substantial dividend policy into a formal dividend policy in which we have not only the cash dividend, but also the share buyback, having a formal process, you need to make the formal statement that you make all the analysis and in the end, you will decide that there will be no better allocation of capital to shareholders. So it's a normal phrase that you have in all the process related to the share buyback in all the organization. And especially when you have a price to book that is significant like all the other European banks today, but there is nothing strange in this approach. It is the usual one in a well-managed organization. The other part of levies, there is an increase related to Banca Progetto in comparison with 2025 that is in the range of EUR 30 million net income, and this will create conditions to have a spike in 2026.
Operator: We will now take the next question from the line of Andrea Lisi from Equita.
Andrea Lisi: The first one is trying to figure out the room of conservative divestment you adopted during the plan. In particular on capital, if do you assume any new SRT over the plan period or room from further optimizing the risk-weighted assets and capital? And related to P&L, I saw that you have indicated pretax profit of EUR 18 billion. You already indicated that you took some margins of prudence on NII fee and cost, but also below the pay tax line to arrive to EUR 11.5 billion. Can you tell us what you have assumed in order of other provision charges, levies and the tax rate as well, so to figure out if you were prudent there as well? The other question is on Isywealth, we've adopted one of the most interesting projects in the plan. So can -- just a clarification if the EUR 200 million you said that should be made as an addition of cost or that investment you made? And if your reality plan or have an idea of already starting to generate some revenues and contribution to NII before the end of the planned period?
Carlo Messina: So the EUR 200 million are already included in the cost base of the plan. So that's the reason why I think that we have a really significant room in our cost base. These are already embedded in the cost base, because it is a project that I want to realize, and I will do all my best to realize this project that I consider really the strategic move for a group like us that wants to be sustainable for the future and doesn't want to make -- to put the shareholders in the condition, not to understand what could be your attitude towards the future, making a different allocation of capital. This is the clear trend of the bank. We want to allocate capital on this. We have already cost on this base. We will try to do our best as in the past to set a delivery machine to deliver on this point. We have technology, we have branches. It is the euro area, and there could be a clear interest. All the country in euros to have players like us that can invest in the country, hire people. I think that we can have also a positive welcome in these countries, especially because we will have a friendly approach and not a no-style approach. And so I think that this could be a very positive project for the future. We will work with clear key players in the country in order to be sure to have a friendly approach in all these countries. At the same time, looking at the P&L we had, as I told, different area of conservative approach, both on revenue and on cost side. But also on tax rate, we have considered a tax rate close to 32%. So we remain, in my opinion, in a very conservative side. And then we can have also extraordinary items that can compensate positive, that can be allocated also for further future growth. So today, the plan is all on the ordinary activity with also some degree of conservative approach also in the tax rate area. On risk-weighted assets, we will continue the optimization. We have further room. In the plan, it's already indicated that we have 30 basis points of benefit, but the benefit could be much higher in the next years.
Operator: We will now take the next question from the line of Andrew Coombs from Citi.
Andrew Coombs: Firstly, on net interest income. You've used a similar set of assumptions to what you used back in 2022. And by that, I mean you're assuming flat 1 month Euribor. If I go back to the 2022 plan, you did include a line where you talked about EUR 1 billion of incremental NII for every 50 basis points of rate hikes. So perhaps you could just touch upon what you think your NII sensitivity today is if you end up actually seeing the forward curve play out as opposed to flat Euribor? And then second question is coming back to M&A. I mean you've touched upon it specifically in the Wealth space. You've talked about plans to expand in Central and Eastern Europe and Spain and France and Germany. But when you're thinking about M&A, how do you weigh up the prospect of just hiring teams of relationship managers and hire agents that is actually acquiring a wealth business? What are the dynamics and the thought process that goes behind that?
Carlo Messina: So, in terms of sensitivity, today, we have that for a spike of 50 basis points. We can have a move of EUR 300 million of increase in terms of net interest income. That's more or less what we can consider in terms of dynamic of net interest income. Looking at M&A, so we -- so our attitude, it is not that we are against M&A by definition. We are against the possibility of not creating value for shareholders. So for a bank like us, entering into -- and we do not like to make acquisition of minority stake just for the sake of increasing the total amount of net income through consolidation. So I think that the industrial part of the story of a bank is based on industrial actions, not on the hedge fund activity and investments. So my point is that if I'm in a position to increase in a sustainable way through the leveraging of technological improvement and through our ability to make Wealth Management, our ability to have product factories, our ability to hire Wealth Management, Financial Advisers, and we are able to do in Italy, we are able to do in Central Eastern Europe. And I think due to the reputation of the bank, we will be able also to do in countries different from Italy in which we have branches that are operating. And do not forget that in Germany, in France and in Spain, our Corporate Investment Banking division is a player. So the total amount of loans that we grant in the area is really significant. So, we are not a marginal player in the country. And we think that this can allow us to be considered a player like all the other if we are able, especially if there could be some people that can leave organization in Germany, in France and Spain, we can be ready to hire these people, creating a network of people. Then if it is not possible through the hiring of people, we are ready also to consider acquisition of financial advisers network. But my attitude is that if I can avoid to pay goodwill to other shareholders. So if it is possible to do something without paying a premium to other shareholders is the best for my shareholders. So my priority is not to make happy the shareholders of other players, it's to make happy my shareholders. So if I have the strength within my organization and if I have the ability, the people, the team and the reputation, I will do all the best to do this without making acquisition. Then if it is needed, because it is strategic for us to have this growth in terms of technological usage, strategic usage of technology, and because we made billions and billions of investments in order to create something that is state-of-the-art, we are ready to use also outside of Italy and using outside of Italy, if I'm ready to make acquisition of financial adviser would be the best solution. Otherwise, I will make acquisition of network of financial advisers. Today, we have nothing on the table because it is a project. So we have to make the screening to work in this country. That's the reason why we will take until the end of the migration on cloud, on the new technology of isytech, but we have enough time to be in a position to create a project that can work. In terms of revenues, we decided to put zero. Because it is really part of the conservative story of the plan in which we have the cost, but we have not the revenues. So I know that all the market today is really concentrated on the short term. So the amount of share buyback, the amount of dividends, the implication of all these M&A bubble that especially we have in Italy. But we couldn't care less of this situation. We work for the medium, long term. And this is the job of a CEO like me, and the job of 100,000 people working in Intesa Sanpaolo. That's all.
Operator: We will now take the next question from the line of Noemi Peruch from Morgan Stanley.
Noemi Peruch: I have two. One is a follow-up on fees. During the plan, most of the BTP Valore taken up post the rate hikes will expire. How do you consider this trend in your plan? Or could this allow for more upside risk to the plan targets? And my second question is on the strategy of isytech and Isywealth. What would be the differentiated proposition of Intesa to clients, especially in developed Europe?
Carlo Messina: Sorry, I didn't understand your first question. Sorry, because the line was not very good, and I didn't understand your first question. So if you can repeat, please.
Noemi Peruch: Sure. So during the plan, Most of the BTP Valore taken up post rate hikes will expire. How did you consider this trend in your plan? And could this allow for more upside risk to your targets?
Carlo Messina: Okay. So this is a very important question. So that's a good point because we have a really significant amount of these assets under administration that are in the hands of our clients. There is not only the expiring portion, but there is also a capital gain embedded position of these that are an amount that can exceed the EUR 50 billion in our assets under administration. So it is really a significant portion. Our expectation in the plan, we have not considered the total conversion of these BTP Valore into products of assets under management. There is also a portion, let's say, 50% of this can be considered as a potential conversion, but it is not only in assets under management, but it is also a life insurance product, because it is more -- it is probably something similar to BTP for clients that can be risk adverse. And so that's the reason why we have also something that can increase in life insurance. But the point of the BTP Valore is a very important point in combination with a significant number, more than EUR 30 billion, EUR 40 billion of certificates that will expire during the period of the plan. So that's the reason why our approach today is really conservative in this point, because we have billion and billion of assets under administration that we expire during the period of the plan, or it is already today capital gain positive. On isytech, we are today, if you look at the comparison between Isybank and all the other digital players in the market, we are, by definition, best practice in all the different sectors of the mass market. We want to create the same approach in terms of usage of this platform like a digital bank but within a bank like Intesa Sanpaolo. And so we will facilitate the operation of all the Wealth Management clients with an acceleration of timing, the possibility to choose a product with an easy approach. And we have already within the group, a company that is Fideuram Direct that is doing this job in Belgium and Switzerland, with an agreement with BlackRock. So it's something that already is a very important player with us in this area. But we think that isytech is a clear evolution also, what we can do in terms of proposal for clients in Fideuram Direct, isytech would be really the best-in-class system for the management of Wealth Management. Then we can add also the proposal of Aladdin in terms of proposal to our clients. So we think that we can set a number of proposals to international clients that could be best practice also outside of Italy.
Operator: We will now take the next question from the line of Hugo Cruz from KBW.
Hugo Moniz Marques Da Cruz: Just three questions. One, on the NII, the hedging facility contribution, if you could give a little bit more color, is it going to be a linear improvement year-on-year? What is the front book yield you're assuming in the plan for the rollover of the hedging facility? Second question on operating costs. What will be the shape in the plan? Are the savings more backloaded or not? And third, how do you avoid the risk of cannibalization between Banca dei Territori Advisory Network and Fideuram? You're getting -- you're becoming so big. How do you do prevent that risk?
Carlo Messina: So starting from the last question. So cannibalization of the segment are completely different because the two areas are with a specific indication of what would be the clients in each division. So I do not see any kind of cannibalization. There could be clear usage of best practice within the organization and the reinforcement of global advisers within the Banca dei Territori. So I think that at the end, we will have Banca dei Territori with global adviser and relationship managers. Private Banking division with financial advisers and private bankers, but with specific clients for each division. And all these will be used also as best practice in the international bank division. And hopefully, in my expectation, through Isywealth also outside of Italy in countries in which we have branches. Looking at operating cost, we made, in managerial actions, we can call, in 2025 in the range of EUR 50 million that will be something that made an anticipation of cost in 2025 that we, in any case, could have been placed in 2026. So this is the amount of cost that being front-loaded in 2025. Then it is clear that looking at the evolution of isytech and the possibility to make write-offs of procedures related to mainframe, we will have the possibility to make further write-off, creating condition to have a reduction of costs during the next years. In terms of aging facility, we have a contribution in 2026. That would be an increase of EUR 500 million, between EUR 450 million, EUR 500 million, then moving into EUR 300 million per year during the next years.
Operator: We will now take the next question from the line of Ignacio Cerezo from UBS.
Ignacio Cerezo Olmos: I've got three short ones, hopefully. First one is on the fees. So the 4% blended fee breakdown, if you can give us a bit of color on the disaggregation of that number between commercial banking fees and market fees? The second one is within the market fees, if you're allowing for a decline of the placement component? Or do you think that is a sustainable part of the fee number? And the third one is, if you can share with us what kind of market performance are you assuming to back the 4% AUM growth per annum revenue?
Carlo Messina: The performance is really limited, so 1%. So we have been really conservative also in terms of market performance in terms of volumes. Then in terms of performance fee, there is an amount that is below EUR 100 million per year, so it's very limited. In terms of component of fees, commercial fees, we move between 2% and 3% during the period of the plan. So again, in my expectation, this include also the corporate investment banking fees that will accelerate, in my opinion, in a significant way. In terms of the other component related to Wealth Management, we will have a trend of gross inflows that would be in the range of EUR 150 billion per year. So that's more or less the amount of increase that we will have in commission deriving from volumes. And in terms of net inflows could be between EUR 50 billion and EUR 20 billion depending by the years. What we will have through this significant action that we made in Banca dei Territori is a significant increase of 360 degrees Valore Insieme that could be an accelerator of commissions within the -- all the group. But again, then we decided to make a reduction in terms of pricing. So bringing to something that both in terms of volume and pricing, in my view, is conservative.
Operator: We will now take the next question from the line of Giovanni Razzoli from Deutsche Bank.
Giovanni Razzoli: I have just one question, which is about the operating leverage that you have on your EUR 200 million investment to scale up your international presence. I was wondering how much of operating leverage you do have on these initiatives. So if the success of this initiative were to exceed your expectations, shall we expect progressive acceleration of those investments and costs going forward? Or can you leverage on your tech spin to exploit the acceleration of revenues with no major increase in the cost?
Carlo Messina: So, we will accelerate these figures. So that's for sure. But in any case, our expectation is to use the reserves that we have in the cost base, so maintaining the total amount of cost more or less in line. Then we will see depending on what could be the real acceleration. But theoretically, we have enough room to accelerate this process to increasing the amount of cost devoted without changing the total amount of costs that we have considered for 2029.
Operator: We will now take the next question from Fabrizio Bernardi from Intermonte.
Fabrizio Bernardi: [Foreign Language] I am Fabrizio with Intermonte. I heard you talking about Fideuram Wealth Management, asset management many times. So my question is not on the state cost-income ratio or tax ratio. My question is that if you believe that we should change our mind about how to value Intesa Sanpaolo. So from a commercial bank to a player that is well involved in asset management, so technically with higher multiples?
Carlo Messina: So I think that the first point is that we consider -- so then obviously, investors and analysts can make their own evaluation. But if you want my personal view on my organization is that today, we are a technological company. So that's my first point. So, we are ready to be really a clear technological player in the market using technology, so using the strategy embedded, the potential strategy that technology can give you, we can do something that other players cannot do. So moving into different countries, to branches, euro area. So with, I think, a very positive approach from the local government and player to increase the presence, to make investments, to be a clear player in the market. Then obviously, this will be made in sectors in which we are a leader in which we consider that we have the winning business model that is Wealth Management Protection & Advisory. So asset under management will be a strategic part of this job, but also Property & Casualties business, because we think that through a proposal in health and houses, we can also increase our penetration outside of Italy starting from 2027.
Fabrizio Bernardi: If I can follow up regarding something else, like the, let's say, the link between Monte di Paschi and Banca Generali. Is this a key point for you or no? I mean, is this a clear competitor that can create some problems or not?
Carlo Messina: So we do not see any kind of problem coming from the combination of Monte Paschi di Siena in their ability to have an approach with Banca Generali or the full group Generali. I think that our dimension in Italy is relevant for us. And also I think that there is today an overestimation of the potential of dimension of Generali in Italy, Generali is not only in Italy. In Italy, the dimension of Generali is comparable with the one of BPM in terms of presence. So, in terms of the -- as soon as we talk about Generali -- it enters into a rebound, okay? So, I was telling that Generali is a clear best practice player in terms of insurance business. But in terms of asset under management in Italy, I think the dimension is not different from the one of BPM. And so the possibility with Monte Paschi di Siena, they can accelerate the placement of the insurance product. But again, do not forget that the #1 player in Italy also in terms of life reserve, life insurance reserve is Intesa Sanpaolo, not Generali. And in terms of new premium Generali is the one, the first in terms of life premium, and Intesa Sanpaolo is a second one. So, I have to tell you that from this linkage between Monte Paschi and Generali, I don't see any kind of threats. I hope that there could be a clear, more relaxed approach between the different players involved in the saga, in the past of these M&A sector for 2025. But then as I told in the other answer, we are pretty happy to be part of a completely different story. We are on a different planet and our expansion will be outside of Italy. Thank you.
Operator: I would now like to turn the conference back to Mr. Carlo Messina for closing remarks.
Carlo Messina: I want just to stress the point of the correlation between technology and Wealth Management. I think that probably, I will use the next month in order to explain better the combination that we see between the strong investments that we made in technology and the potential of growth that we have in terms of Wealth Management & Protection. My strategic view for the market is that branches and acquisition of branches or acquisition of bank with branches will lose a lot of value for the future in the next 5 years' time. And what is really the winning business model is to work in terms of Wealth Management & Protection, using people within the organization, creating the sense of being proud of being part of an organization of success, but using technology in favor of people within the organization. Having said that, technology will allow us to increase our presence also outside of Italy and the strong capital base that we have, the strong synergies that we will create in terms of cost base will allow us to have significant amount of money that we can invest in expansion in other countries in Europe leveraging on our strengths. So that's what I see for the future of the bank, and I think that we are a unique case in Europe. And also the fact that we decided to reduce in a significant way the non-performing loans is based on the clear view that a bank that can be a leader in terms of Wealth Management and Technology cannot have a significant amount of non-performing loans. So zero non-performing loan is also a precondition to be a clear leader in a market in which we want to enter, starting from the point that we are a zero bad loan bank. And please compare us with all the players that you have in your country because all the players will have non-performing loans much higher than Intesa Sanpaolo. And so starting point is, we have an approach that is less risky than the other player. And we are a Wealth Management leader, Technological leader, and we want to play a game also outside of Italy, but not paying goodwill to other shareholders. So thank you very much.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.